:
Operator: Welcome to the Q3 FY 2014 Team, Inc. earnings conference call. At this time all participants are on listen only mode. We will conduct a question and answer session towards the end of this conference. (Operator Instructions) As a reminder, this call is being recorded for replay purposes and I will now turn the call over to Phil Hawk, Chairman and CEO.
Philip J. Hawk : It’s again my pleasure to welcome you to the Team web conference call to discuss recent company performance. Again, my name is Phil Hawk, I’m Team’s Chairman and Chief Executive Officer. Joining me again this morning is Mr. Ted Owen, the company’s Executive Vice President and Chief Financial Officer. The purpose of today’s conference call is to discuss our recently released financial results for the company’s third quarter for fiscal year 2014 which ended on February 28th. As with past calls, our primary objective is to provide our shareholders and potential shareholders with an enhanced understanding of our company’s performance and prospects. This discussion is intended to supplement our quarterly earnings releases, filings to the SEC, as well as our annual report. Ted will begin with a review of the financial results. I will then follow Ted with a few additional remarks and observations about our performance and prospects. Following these remarks, we will then take questions from our listeners. With that introduction out of the way, Ted let me turn it over to you.
Ted W. Owen : As usual, let me begin with the Safe Harbor Statement. I want to remind everyone that any forward-looking information we discuss today is being provided in accordance with the provisions of the Private Securities Litigation Reform Act of 1995. We’ve made reasonable efforts to ensure that the information, assumptions, and beliefs upon which this forward-looking information is based are current, reasonable, and complete. However, a variety of factors could cause actual results to differ materially from those anticipated in any forward-looking information. A description of those factors is set forth in the company’s SEC filings. Accordingly, there can be no assurance that the forward-looking information discussed today will occur or that our objectives will be achieved and we assume no obligation to publically update or revise any forward-looking statements made today or any other forward-looking statements made by the company whether as a result of new information, future events, or otherwise. Now, with that out of the way for the financial results. Our adjusted net income available to shareholders was $0.01 per share in the current year quarter versus a $0.01 loss in last year’s quarter. The adjusted net income for the quarter excludes a $1.9 million pre-tax accounting loss associated with a revaluation of our net assets in Venezuela as I discussed at length on our call on March 20th. Revenues for the quarter were $163 million, that’s up 8% over last year’s quarter despite the weather issues that we discussed previously in our March 20th call. Now here’s a breakdown of those revenues by business group: first, Inspection and Heat Treating revenues were $85.1 million, up $4 million from last year’s third quarter; Mechanical Services revenue were $63.4 million, also up $4 million from last year; and finally, Quest revenues were $14.6 million up 43% from last year’s quarter. Now, with respect to cash flow related items, capital expenditures were $10 million for the quarter and depreciation and amortization plus non-cash compensation charges were $6.3 million in the quarter. Adjusted EBITDA was $7.3 million in the quarter and on a trailing 12 month basis was $76 million. Now, further word about capital expenditures. Just after the close of the quarter, we opened our renovated and repurposed Alvin, Texas technology & training center that formerly served as our corporate headquarters. This campus has been transitioned to a world class training, technical support, and equipment center and continues to house our manufacturing, engineering, and commercial support activities as well as our IT support functions. The completion of this project concludes a two year journey of upgrading our technical and training facilities and positions us well to continue to attract, train, and retain the next generation of skilled labor to meet customer demands over the coming expansion cycle. The total cost of the technology and training center will be about $9 million including $6.7 million incurred through the end of the third quarter. Also in the third quarter, we began in earnest the design phase of a major IT system upgrade, the implementation of a new ERP system for the company. Over the past year we have been evaluating and testing various ERP systems and we are excited about the operating efficiencies and business process improvements we will gain from the solution we have selected. This initiative will be rolled out on a phased approach over the next two years with our US operations and corporate functions scheduled for full implementation by the end of fiscal year 2015. We expect the total cost of this initiative to be about $10 million to $12 million over the course of the next two years. To date, we have incurred $2.7 million in capitalized costs including $1.8 million in the third quarter. We will continue to apprise you on our progress with this exciting initiative. Now, at the end of the quarter our total debt was $84 million and cash was $40 million. Therefore, our net debt was $44 million and our net debt to trailing 12 month EBITDA was 0.6 to one. With that Phil, I’ll turn it back to you.
Philip J. Hawk : Now I would like to supplement Ted’s remarks with a few additional comments and perspectives on our recent performance and outlook. Rather than fully repeat the discussion from our conference call two weeks ago, my brief remarks are intended to expand upon that earlier discussion providing a little more color and detail. All financial results referred to in my remarks will be adjusted results that exclude the non-routine items described by Ted and set forth in our financial statements. Ted shared the overall results with you. Total revenues were $163 million, up about $12 million or 8% from the prior year quarter. As previously mentioned, we estimate that adverse weather conditions resulted in an approximately $6 million loss of revenues during the quarter. Adjusted earnings per share was $0.01 per share. Due to both the loss of revenue and reduced labor utilization and related inefficiencies from this weather impact we estimate that our adjusted earnings were lowered by approximately $0.10 to $0.12 per share as a result. But for the weather challenges that were also felt by many others as well, our financial results would have been fairly close to our expectations. Job margins, which are not directly impacted by the weather issues were similar to both the prior year quarter and the most recent second quarter. Excluding weather related issues, both gross margin and SG&A performance as a percentage of revenues, would have been favorable to last year’s third quarter and consistent with our expectations. Now, let me provide some additional commentary and details on our specific businesses beginning with Quest Integrity Group. Quest had strong performance in what is also a seasonally weak quarter for this business group. Revenues were nearly $15 million in the quarter, up approximately $4 million or 43%. Operating profit and operating profit margins increased $1.2 million and nine percentage points respectively versus the prior year period. Job margins improved slightly due to a richer mix of in-line inspection services. Gross margin increased substantially due to the operating leverage of the significant business growth. SG&A expenses were significantly higher, about $2.1 million versus the prior year reflecting the significant ongoing investment in new technology development, geographic expansion, and service capacity. Quest continues to have very attractive business growth opportunities in all of its primary segments from inspection and related support services to engineering assessment, and extending across the pipeline, process, and power industries. During the quarter, Quest process business unit generated particularly strong growth versus the prior year quarter. The variability of growth between business units is indicative of project timing and is not particularly unusual. We are pleased with this most recent performance and remain very encouraged by the business opportunities ahead for Quest’s existing services as well as with newer market opportunities enabled by our commitment to innovation and proprietary technology development. I mentioned during the last call a few of these exciting specific growth opportunities that are in hand for Quest. Similar to the discussion in previous quarterly conference calls I will now discuss our remaining two business groups Inspection and Heat Treating Services and Mechanical Services together because the performance trends and underlying factors are similar. On a combined basis the revenues of IHT Services and Mechanical Services were about $149 million, up $8 million or 6% compared to the prior year quarter. Operating income for the two business groups in the quarter was about $6.7 million, a decrease of $1.1 million from the prior year quarter. Operating profit margin was about 4.5%, a decrease of approximately one percentage point. This margin decline is due entirely to lower gross margin performance which in turn was impacted by the weather related loss revenues and resulting inefficiencies in our indirect costs. As mentioned in the previous call, job margins for both groups were very similar to the prior year period. SG&A expenses for these business groups increased slightly versus the prior year quarter and were consistent with expectations. I would also note we have used this slower period to strengthen our business capabilities and prophecies through the review and strengthening of our operational management, ongoing refinement in our service delivery, and leveraging our new rapidly growing capabilities such as tank inspection services and rope access. Looking ahead our guidance for the current fourth quarter ending May 31st remains unchanged. We expect total revenue for the quarter to be in the $210 million to $225 million range. This revenue guidance reflects a 5% to 12% revenue growth versus the prior year period. As mentioned in our last call, we expect to participate in a significant number of turnaround and other projects in the quarter. The lower end of the range reflects our cautious posture that there may be some softness and possible scope reduction in the project work available consistent with the guidance provided on our prior call. The corresponding earnings for this revenue range is $0.65 to $0.85 per share which would represent a significant increase versus the prior year quarter. To wrap up, let me highlight the exciting long term business growth opportunities that continue to be available for Team. We serve a market with very attractive fundamentals. These fundamentals include: stable demand tied to necessary maintenance requirements of a very large install base of facilities combined with an attractive tailwind due to both a new energy infrastructure construction boom and a heightened industry focus on more progressive asset integrity management of aging infrastructure across all energy sectors; a large and diverse customer base with more than 10,000 potential customers in North America and remind you that no single corporate entity today represents more than 5% of Team’s total business; and a fragmented competitor environment combined with growing customer preference to work more extensively with fewer larger service providers favoring companies like Team who have broader more integrated service capability and national or international service networks. We have demonstrated that we can serve our customers effectively and capitalize on these opportunities as evidenced by our attractive long term historical growth and most importantly our future opportunities are just as robust. Despite our considerable growth our North American market share is less than 20%. Our structural advantages of broad presence, technical operational depth and size, and a culture of service excellence will be more important than ever as our customers demand more from all service providers. Team will be able to continue expanding its presence to both additional complimentary special services in current territories as well as in additional new markets beyond North America. We also fully recognize that great position and potential is not automatically great performance. We have to earn our customer’s continuing trust and confidence every day with safe, effective, and responsive service and comport and we intend to do just that. We look forward to a strong finish to this fiscal year and continued strong momentum into fiscal 2015 and beyond. That concludes our remarks. Operator, let me know turn it back to you and open it up for questions.
Operator: (Operator Instructions) Your first question comes from the line of Matt Duncan with Stephens, Inc.
Matt Duncan – Stephens, Inc.: Phil, the first question I’ve got you made a comment that at the low end of the range, that just reflects the cautiousness that maybe you could see some deferrals of projects. Have you seen any of that yet or things so far, beyond the weather driven deferrals, or things so far proceeding on schedule?
Philip J. Hawk : I think we’re off to a good start in the quarter. I’d just remind you we’re just getting started and it’s a long quarter so the key to our growth or where we end on that range will be really how the entire scope of business is sustained throughout the entire quarter. I think it’s too early to tell and we’re not really changing our point of view at all at this point.
Ted W. Owen : Just a reminder from our prior call that the quarter did start to ramp a little slower than usual. We think again, because of the continued weather in the first couple of weeks of March. But, we’re fully ramped right now.
Matt Duncan – Stephens, Inc.: In terms of wage inflation I know the last few years it’s been much lower but I think maybe six or nine months ago you guys started to see that creep in a little bit and it sounds like maybe it’s expected to get even greater in the future. Where are you seeing wage rates right now in terms of how much are they up and what is your expectation for the next six to 12 months down the road?
Philip J. Hawk : It’s a bit of a mixed bag in terms of we’re seeing significant wage pressure particularly with respect to inspectors again, particularly on the Gulf Coast. Many of our wages there are up 8% to 10% year-over-year. We haven’t really seen nearly as much in other parts of the country or in other skilled labor categories, if you will.
Matt Duncan – Stephens, Inc.: The last thing, we’ve talked a lot about Petrochem and obviously you’ve won an LNG export terminal inspection contract which is clearly part of this coming cycle but one other thing that I guess could drive some volume for you guys and excess demand would be these tier-3 vehicle emission standards are coming in 2017. Have you talked to your customers much yet at this point about what sort of things they’re going to need to be doing to prepare for that, your refinery customers and what that might mean for you guys?
Philip J. Hawk : Honestly Matt, we really haven’t engaged on that particular issue so I don’t really have any kind of perspective to share on that.
Operator: Your next question comes from for the line of Tahira Afzal with KeyBanc.
Saagar Parikh – KeyBanc Capital Markets: Hi, good morning. This is Saagar on for Tahira. First question around Quest, I know you mentioned in your prepared remarks that fiscal third quarter does see seasonality but if I look back at your prior comments, you guys had guided for the full year something around $70 million in revenue for Quest and $11.5 million in operating profit which implies a pretty big ramp in the fiscal fourth quarter. Can you give us any color on those numbers or if we should still expect that kind of ramp up in the fiscal fourth?
Philip J. Hawk : Yes, I think that’s pretty close to what we’re expecting so we’re not changing that perspective.
Saagar Parikh – KeyBanc Capital Markets: I know we’re still in the midst of spring turnaround season but any color you can provide on what you’re hearing from your customers in terms of the fall season? We know that projects over the last couple of years seems like that they were being broken up a bit more and spread out. Any early indications from the customer side?
Philip J. Hawk : I don’t have a lot of specificity to share on that. I would just say broadly or generally it’s a bullish perspective that there’s a lot of activity. Obviously, a lot of new construction along the gulf but it is generally an active and busy time so we’re encouraged by the tone of what we’re hearing.
Operator: Your next question comes from Arnie Ursanser with CJS Securities.
Arnold Ursanser – CJS Securities: Just first a mechanical question for Ted. You had about a 100 basis point decline in your EBITDA margin in Mechanical Services, is it simply weather?
Ted W. Owen : Well, it’s largely weather, Arnie. We’re probably impacted more in Mechanical Services than any other group with respect to weather so that plus kind of the rebalancing issues in Canada over the course of the last year have really impacted that margin.
Philip J. Hawk: It would be more of a year-to-date estimate there for sure.
Ted W. Owen: Yeah.
Arnold Ursanser – CJS Securities: Then going back to Quest which seems to be the topic dejour, you had two very exciting technologies Hydra and [10X] [ph] that you’ve been developing. You’re obviously excited about the growth prospects. Can you size the opportunities for these? Looking at the Q3 margin in Quest, your EBIT margin was well below both the year-to-date and your goal for the year. How much of that is investments to grow these exciting opportunities? So size them and the cost of sizing them, the cost of growing them?
Philip J. Hawk : Just a couple of points of clarification. I’m not really in a position to, other than to say they’re very, very large, I don’t have a lot of specificity on size. The [10X] [ph] control technology is basically the backbone of our data management and sensor management technologies for all of the ILI tools. So it is not itself a product, it is an enabler for the next generation of tools and services that we’ll use and so it will affect everything that we do.
Ted W. Owen: Basically takes us to high definition from standard definition, if you will.
Philip J. Hawk: The Hydra technology is basically, if you will, spanning from the – I’m going to say the small tubes and kind of process work of the FTIF service lines of Quest to the InVista, the bigger pipeline, so it’s shorter lines of piping systems. It’s what - the Hydra, by the way, is the basic base technology that’s being used in the nuclear industry for some of the concrete encased piping inspections that we mentioned that are inciting new opportunities. These are very large markets and very exciting. I don’t have specifics of each of the individual components to share but we’re very, very excited about the growth opportunities.
Arnold Ursanser – CJS Securities: Well, Hydra was a test program, has it now expanded to more commercialization from your key customer?
Philip J. Hawk : In the nuclear industry we still just have - yes, because we kind of issued a paper with the participating nuclear plant. We’ve run full test runs on identical systems with them, the actual run in their plant was pushed to June due to frankly the fact that the engineers are in Japan helping out on some of those issues from a year or so ago.
Arnold Ursanser – CJS Securities: A real simple question if I may, on Bakersfield, California? You indicated you opened a branch for two significant new customers, can you expand on that at all?
Philip J. Hawk : What we’re doing is providing a broad based inspection services related to the E&P and then related processing activities up in that area.
Operator: Your next question comes from Tristan Richardson – DA Davidson & Co.
Tristan Richardson – DA Davidson & Co.: Just curious on the Quest business, you guys talked about the inline work and the process business performing very well and I’m curious, am I thinking about it the right way, are those types of scopes of work somewhat less susceptible to weather just because of the work being performed? Is that fair to say?
Philip J. Hawk : I would say if we look at inline work done in pipeline activity it has more challenges due to its reliance on setup activities and kind of pre job cleaning and activities of that sort so we tend to have more delays and changes in schedules related to some of the pipeline work just inherent in the nature of that type of work. But I think when you’re frozen out, first of all it’s a very short time period so it’s easy to catch back up, but when the weather that causes us to kind of sit down in the mechanical and SG services with just frozen roads and severe cold, they would also affect the Quest services, they would be unperformable on those days. It’s just the timeframe, it’s more condensed work I think, for the Quest work.
Ted W. Owen : Just to elaborate a little on that, relative to our estimate of kind of loss revenue for the quarter, Quest was also in that boat with about $1 million of pipeline related activity was deferred because of weather.
Tristan Richardson – DA Davidson & Co.: Ted, just on the ERP schedule you talked about two years and $10 million to $12 million, will any of that be expensed or should we expect most of that just to be capitalized?
Ted W. Owen : There are elements of expense, and as we incur those we will call those out to let you know what that is. Basically, it’s training costs or costs of training personnel is expensed, all of the design, and really fundamentally everything else is capitalized except for that.
Tristan Richardson – DA Davidson & Co.: You just talked about over the past year you guys have added a couple of new service lines mainly tank inspection and then your rope acquisition but I’m curious as you look forward, what are some sort of interesting service lines or things that we should be thinking about that seem attractive to you that you guys would like to add to the punch list or the portfolio?
Philip J. Hawk : I think the range of possible services is broad. Rather than just speculate on those, let’s go back to one of the requirements for something to kind of join our portfolio because I think that’s maybe the more helpful way to think about it. First of all, it has to be a service complementary obviously, to the same customer groups. It has to be a service where the skills or capabilities have similar requirements as ours. This is going to be specialized services delivered on a decentralized basis generally with small crews. Those are the things that we have good skills to do. But as importantly, there has to be a good cultural fit with any business that we would kind of consider bringing aboard as part of Team. So, operating philosophy, kind of fit their management team, a clear path forward of how that management team will join us and how we can accelerate the growth and combine the businesses by the fact that we’re together. Those are going to be the key, as they have been historically, the key drivers of our focus and activity. It could be new capabilities, it could also be new geographies in some areas if we have those other components that fit. I think it’s a broad range of capabilities but just to list things that could fit that maybe don’t have these other components, I don’t think would be helpful to you frankly.
Operator: Your next question comes from the line of Charles Redding – BB&T Capital Markets.
Charles Redding – BB&T Capital Markets: One last follow up on Quest nuclear. Are there additional permitting requirements on these nuclear jobs that impact bidding opportunities in select areas?
Philip J. Hawk : Do you mean do we require additional permits to do the work?
Charles Redding – BB&T Capital Markets: I mean, just from a state level, regional, federal, what have you in terms of permitting?
Philip J. Hawk : Not to my knowledge. I don’t think there are other permitting issues that I’m aware of. I would just observe this that with our kind of successful, and again we have done a complete test run with the plant. The actual final run will be in June, but with a successful run and kind of successful partner in the industry, our expectation would be that it would be extremely unlikely that there would be other service providers in the near term providing that service just because of the demonstrated success of this approach and technique. So that’s not a permit per say, but I think just the confidence that the industry will have a solution because of all the development work and demonstrated success that has taken place. Just a reminder, this work is driven by an NRC directive relative to the requirement that these encased piping systems be inspected and industry process of selection of the methodology. So it’s not something – we’re kind of at the end of the beginning if you will.
Charles Redding – BB&T Capital Markets: Have you seen any uptick in inspection demand or really any new regulatory overtures following the March explosion in New York, the natural gas explosion?
Philip J. Hawk : Not related to an event like that, no.
Operator: You have no further questions at this time. (Operator Instructions) There are no more questions at the moment.
Philip J. Hawk : I’ll just take the call back and to wrap up let me thank everyone for your participation on this call this morning and your continuing interest in Team. We look forward to updating you on our progress during our yearend conference call that will take place in late July or early August. In the meantime, everyone have a good day.
Operator: Thank you for your participation in today’s conference. This concludes the presentation. You may now disconnect and good day.